Operator: Good day and welcome to the Stora Enso Q1 Results Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ulla Paajanen-Sainio, Head of Investor Relations. Please ago ahead.
Ulla Paajanen-Sainio: Thank you, Anna. Good afternoon, everyone, and welcome to Stora’s Q1 results conference call. And I will hand this over now to our CEO, Karl Sundstrom. And after him our CFO, Seppo Parvi, will talk about the figures in more detail. Karl, please go ahead.
Karl-Henrik Sundstrom: Good afternoon, good morning, depending on where you are in the world. I would like to start with a very short presentation of the result and then hand over to Seppo. So we believe we delivered another solid quarter even though we are having tailwinds from the foreign exchange supporting us. Sales decreased by 3%, but if you exclude the structured decline is paper business and divested Corenso business we were basically - we were up 3% and that is mainly driven by the ramp-up of Montes del Plata, which is a sign that the transformation strategy we’ve chosen is paying off and it’s also been shown in the income statement. We concluded the quarter with a 21% increase in the operational EBIT ending it at €220 million. Net debt was unchanged compared to the end of the year but improved versus the same period last year. And operational return on capital employed ended up at 10.1% versus 8.6%. So we are moving up in profitability. We are moving up in return on capital employed and we are strengthening the balance sheet. If you look to the different businesses, you can see here that consumer board continue to improve profitability and they improve the EBIT or operational EBIT by 27% based on basically 1% sales increase. And if you go to packaging solution, if you exclude Corenso, which is in the numbers for last year, the sales were up slightly more than 1% and the result is flat. So the minus 4 here is basically coming from the Corenso that we had included last year. Then you come to Biomaterial, 35% growth and 3.5 times increase in profitability. Wood products, which is seasonally low and we are having higher curtailment this year to avoid any channel stuffing declined by 12% in sales and 18% in EBIT. Paper declined 18.5% in sales and decreased the profitability by 28%. But you have to remember which is included here is €7 million provision for doubtful accounts. And then in the other, it’s basically due to the company’s [indiscernible]. Being in a fairly volatile environment with currencies and increasing our pulp exposure, I just want to remind you about the sensitivities that you are having on a yearly level with the impact of Yuan, but excluding the dynamic effects that might come and then I know that Seppo will talk about later on. The Guangxi project is processing according to plan as you can see on this quite foggy picture taken just a few days ago. You can see the main body of the board machine, where the board machine will be. Right on the board machine you can see the warehouse being built up and next to the warehouse there are some buildings with blue roofs and that’s the administration where there basically the old people in Guangxi are sitting right now. So the Guangxi board mill phase 1 is estimated to cost around €800 million in phase 1. This is an increase of €40 million due to strengthened RMB. Construction is in full speed and expected startup is mid-2016. The investment in Imatra, of the €27 million that we announced a couple of quarters ago to increase the capacity by 20,000 tonnes as well as the cost of effectiveness, we will already start to yield in September 2015. If you look on Packaging Solution and Wood Products the Varkaus conversion is going according to plan and we plan to start up in the fourth quarter of 2015. The wooden elements that we announced last quarter, the €43 million investment is expected to start up in Q2 2016. And the Murow Sawmill in Poland is already starting up next quarter. Montes del Plata is now ramping up and that’s one of the reason as you have seen in the numbers why we are now getting a better result supported by currency in the whole Biomaterial division. Sunila Mill, we have concluded the investment in the lignin production and we will start to commercialize that in the second-half of 2015. And the Virdia acquisition and demonstration plan is going according to plan and probably we will have the first commercial products out in two to three years. So this is for me just an explanation of the transformational investment we’re doing. If you look upon the effects, what you can see in the journey that we’ve done from 2006, paper is still slightly more than a third of sales, but in this quarter mainly due to price pressure as well as the provision for doubtful accounts. They are actually now below 10% of the operational EBIT which means that 92% are coming from the other business and we are still doing a 21% increase versus last year. With that I would like to hand over to Seppo Parvi.
Seppo Parvi: Thank you, Karl. Now, let’s look at the summary of the financials and some key figures first. So sales for the Q1 this year came at €2,491 million that is 3% decline year-on-year. But you should remember, keep in mind, that excluding structurally decline in paper business and divestment of Corenso sales actually came up 3%. Operational EBITDA increased by 2 percentage points and was at 13.6% for the first quarter. Operational EBIT increased almost 21% year-on-year. Operational return on capital employed was 10.1%, and net debt to last 12 months operational EBITDA was stable at 2.6 compared to the end of Q4 last year. It actually decreased from 2.8 in Q1 2014 to minus 2.6 this year. On the following slide, we have a bridge comparing EBIT reported for the first quarter last year and EBIT for the first quarter this year. Here I want to concentrate on the three boxes or figures we got in the graph. First of all foreign exchange difference or improvement on sales was €74 million, and offsetting that we had €10 million increasing the cost due to the FX. So the net benefit was €64 million, and about €40 million of that was exceeded by materials division. But you see that there is a significant decrease in the ROCE sales prices and mix €86 million. This is something we need to look at the combination of the EBITDA in foreign exchange effect on sales, because you have to remember that we are primary operating in euro and Swedish krona cost-based operations. And at the same time selling significant volumes in other currencies such as U.S. dollar, the main currency for the Pulp business and British pound, for instance, in the Paper business. And these two in combination cause material impacts on operational EBIT through price and currency movements like explained here. Then moving forward and looking at the cash flow from operations. Cash flow for the quarter was €171 million. Euros this year increased up about €20 million compared to first quarter last year that was about 7% of the sales. Net debt increased since the year end 2014, mainly driven by stronger U.S. dollar having an effect through the revaluation of the debt portfolio. Then some comments on different divisions, and I will start with consumer board that sales increased to €569 million due to higher board deliveries, that’s about 1 percentage point increase. Operational EBIT improved 27% to €79 million. Operational return on operating capital was 17.3%, that is up from 15.7% a year ago. And this figure, remember it’s burdened by Guangxi project. If we exclude Guangxi return on operating capital would have been 30%. Here next looking at the Packaging Solutions, the sales decreased to €221 million, and operational EBIT decreased to €26 million by €12 million. But here you have to remember, if we take into account the effect of Corenso divestment, our sales actually increased 1.2% for the Q1 versus Q1 last year and EBIT - operational EBIT was flat. Operational return on operating capital was 12.9%, and first to remind that here on Q2 maintenance works that we have at Ostrołęka Mill maintenance during the quarter in Packaging Solutions division. Next biomaterials, where we have significant increase in the sales figure almost 35% increase year-on-year, mainly due to Montes del Plata deliveries and FX impact by U.S. dollar. Operational EBIT increased also significantly from €21 million a year ago to €73 million this year. And as mentioned there, the FX impact was approximately €40 million partly offset by lower U.S. dollar based softwood pulp prices, it’s - I was bit referring earlier in the bridge or the diagram [indiscernible] of the market. And higher Montes del Plata volumes also increased as a result partly, of course, offset by higher depreciation and fixed costs. Of course, MdP start up and increasing volumes was a major player for the result improvement for the board. And we had in Montes del Plata the first maintenance stop during the quarter and that went - well, it went as planned and actually the total costs were slightly below the assumptions and proxy [ph] for the maintenance. An operational return on operating capital was 11.4%, this is now including Montes del Plata, actually that’s been up and running since June last year, we don’t exclude that anymore. Our maintenance in Q2, we have major stops at Veracel and Enocell with regard [ph]. Then wood products, where our sales declined 12% year-on-year, mainly due to lower deliveries to Japanese and Middle East market. Operational EBIT at the same time decreased by 25% and was €15 million. That was affected by lower production and delivery volumes with oversupply and lack of profitable orders, but fixed costs were lower at the same time. Operational return operating capital was 11.7%, that is down from 15.3% a year ago, and curtailments were 6% compared to 3% a year ago. Then look at the Paper division, there our sales - cash flow to sales improved to 7%. Sales declined 9% to €914 million driven by asset closures, you remember we closed Veitsiluoto, the one paper machine last year and Corbehem mill in France was closed. And also demand was declining some. During the quarter, we also completed disposal of Uetersen mill as announced earlier. Operational EBITDA decreased by 28%. But here you have to keep in mind and remember that we improved doubtful receivable provision of €7 million in the quarter. I think it was also affected by lower volumes and lower prices that were partly offset by positive foreign exchange effect. And we are very happy, as you remember, paper is our cash flow engine helping us to fund our investment program and here our cash flow to sales improved from 1% to 7%, great achievement. And maintenance in Q2, there we have activities in Langerbrugge’s energy, Oulu, Sachsen, and Nymölla. CapEx forecast of the following page, there we have increased our guidance for the full-year CapEx to €820 million to €880 million that driven by the increase in CapEx in Guangxi due to the foreign exchange rate effects. Good to remember here that even though this increase now leaving this on side, we are well within the process, so in that sense project is moving ahead as planned and also you saw the pictures Karl showed - showing the progress there. Here we have to remember and keep in mind that we have sort of natural hedge in place. We have injected equity into China already in 2014, the head of the investment payments. And if you look at the currency rates today and what their currency rates there at the time when we injected equity in China, we would actually need to put in over €100 million more today to get the same amount of Renminbis in currency. This is, of course, reflected in the equity revaluation that the total gain due to FX was about €200 million, half of that roughly coming from China. Also we have had good liquidity kept in China because of the same reason and if you look at the devaluation of money market investments and cash in China that they will have a benefit of €30 million, [indiscernible] this hedge doesn’t meet on the same lines, as you can see, but the total picture looks pretty good and well managed. Then before I hand over to Karl, guidance for Q2 compared to Q1, first of all the sales for the Q2 we estimate to be slightly higher than the Q1 sales that was €2 491 million. Operational EBIT for Q2 is expected to be in line with the Q1 operational EBIT of €220 million. Here - and here just a reminder, I already mentioned the main mills that we have the maintenance in Q2, but please notice that Q2 we have about €30 million more maintenance impacts, costs, and effect on the sales than in Q1. Here on the page there is a list of those sites that I already mentioned earlier in the presentation. With that, I hand over to Karl.
Karl-Henrik Sundstrom: Thank you, Seppo. So the summary of this quarter is that the transformation is in progress and it’s evident by the strong contribution from Montes del Plata, and there is more to come. Sales excluding paper increased 3%, which means that the underlying business that we are investing in continued to delivering growth. Operational EBIT increased 21% year-over-year, net debt improved versus last year and operational return on capital employed reporting now over 10%. With that, I hand over to Ulla.
Ulla Paajanen-Sainio: Okay. Thank you, Karl. Yes, and just to remind you that we will have our Capital Markets Day in London, May 28. So you’re almost welcome to attend, and please remember to register to that. And now, here now we are ready for Q&A session. Thank you.
Q - Antti Koskivuori: Yes, thank you. Three questions, if I may. First from of the maintenance cost, you’re saying now that in Q2, it will be €30 million higher than in Q1. Could you give us a number, what do you expect the delta will be in full-year 2015 versus 2014, how that split will go into different quarters? Then the second question on graphic paper prices now quick calculation implies that your average sales price came down quarter-on-quarter some bit less than 3%, I guess, that’s partly a mix issue. But should we expect similar kind of pressure in Q2 versus Q1 assuming that part of the new prices were in place in during the quarter? And then lastly about the announcement of capacity additions in European cartonboard market. Could you share your thoughts, how you expect these two impacts the market balance in Europe in one to two years’ time, I guess, when these announced projects would be finalized? Thank you.
Karl-Henrik Sundstrom: So the first question I’ll give to Seppo.
Seppo Parvi: Okay. So on the maintenance side, we don’t give full-year guidance. But putting them into perspective, like I said, maintenance is estimated to be in Q2 about €30 million higher than we had in Q1. And if you then compare to previous year, the difference is about €15 million. But it goes a bit up and down depending what mills are down et cetera. So we’re not giving, right, but the result also we give guidance for the coming quarter not for the full-year. And then, Karl, you’ll take that.
Karl-Henrik Sundstrom: Yes, I’ll take paper. So I think your assumptions are for Q1 is fairly okay, doing that. But when we look into the second quarter, we do believe that the prices will be fairly stable.
Antti Koskivuori: Okay.
Karl-Henrik Sundstrom: And then the last one regarding the future CapEx, I’ll give a little bit. We have said in previous calls that 2014 and 2015 of the peak years of our investment, because it’s not sustainable to continue and we have a policy that we should be around a CapEx in the longer time, along area of our depreciation. So I think that gives you a bit of an indication.
Antti Koskivuori: Actually my question was about the announced projects in cartonboard is mainly in folding boxboard. We have now two announcements of 400,000 tonne machines in Sweden.
Karl-Henrik Sundstrom: Yes, we have the [indiscernible] and then you have the one up in the north, which is part of Metsä Board in Husum.
Antti Koskivuori: Yes.
Karl-Henrik Sundstrom: We are following that, but we are trying to understand what it means, and making conversion is not always very simple, and we are following this very carefully.
Antti Koskivuori: Okay. Thank you very much.
Operator: Thank you. And we will take our next question from Mikael Doepel in Handelsbanken Capital. Please go ahead.
Mikael Doepel: Yes. Thank you. I had two questions here. First of all, you talk a lot about Montes del Plata and the significant impact on earnings from the ramp up. And there still, if you exclude the FX impact, the delta is actually not that big in earnings. Could you perhaps elaborate a little bit on what the contribution really was in terms of earnings from Montes del Plata in Q1?
Karl-Henrik Sundstrom: It’s a very big part of the year-over-year improvement. And I also think it’s important to understand when we - that when we talk about the dynamic effects on pulp between local prices that I referenced met most of the times in dollar and we are not in Montes del Plata, but in the rest of organization and not in Veracel very much as SEK or euro based. So this with their local prices versus the currency is the dynamic effect.
Mikael Doepel: Yes, yes. In terms of the - well, still if you look at the - if you strip out the FX, you have a 13 million…
Karl-Henrik Sundstrom: But I don’t think you can’t strip out the FX.
Seppo Parvi: Yes, if you just look at the FX, you have to remember at the same time that softwood pulp prices in U.S. dollar have been coming down during the quarter. And then one major driver has been the stronger U.S. dollar. So taking into account, the currency effect together with the lower U.S. dollar prices actually euro prices are somewhat higher even than previously. And that’s the logic I was trying to explain also in bridge earlier in my part of the presentation. So you can look at those in isolation fully.
Mikael Doepel: Sure. In terms of the volumes from Montes del Plata, when would you expect to reach the full capacity there?
Karl-Henrik Sundstrom: So we’re at the high capacity right now. But full capacity is probably towards the end of this year, because to ramp it up to a fairly high 90% to 92%, takes about six months. But then to get it to 100%, in the laps fine tuning, it’s another year, and that’s what we’ve been saying all the time.
Mikael Doepel: Okay, good. Then the second question, you touch up on the pricing picture for paper previously. But if you look at the overall pricing and demand environment in Q2, and if you look at your other main divisions, the Paper or Packaging, what kind of an environment do you expect to see in the second quarter in terms of pricing and demand?
Karl-Henrik Sundstrom: I think if you take pulp away, because I think pulp we need to be very careful, because it’s very much driven by the currency movements as well. So if you look in paper, I fairly stable prices. I would say that consumer board will be stable. And when I think - when I look upon the container board, it might actually go up a little bit. And then when you take corrugated packaging, I think, it also can go up a little bit.
Mikael Doepel: Okay. And in terms of volumes?
Karl-Henrik Sundstrom: Within the guidance, we are actually for the first time guiding increased sales, despite structure decline in paper. So I think I’ll answer that question for you.
Mikael Doepel: Okay. And that’s fair enough. Then just finally, in terms of costs, what kind of cost trends are you seeing moving forward? You have some deflationary returns now in Q1, do you expect that to continue?
Karl-Henrik Sundstrom: We understand the whole company that we got some tailwind from the currency, and we are tracking it very, very careful. So we don’t think we are better than we are, then obviously cost focus is going to continue for us.
Seppo Parvi: In general I would say, Seppo here, well if you look at the variable cost development for instance, that is rather flat. There are no strong pressures up or down.
Karl-Henrik Sundstrom: But we need to work on it, because the worst thing is, when you get the tailwind and you think you have achieved something yourself.
Mikael Doepel: Yes. That’s clear. Thank you very much.
Karl-Henrik Sundstrom: No problem.
Operator: Thank you. And we will take our next question from Lars Kjellberg in Credit Suisse. Please go ahead.
Lars Kjellberg: Thank you. Good afternoon, and couple of questions from me. You highlighted, of course, that paper is now a very small portion of your operating profit, it is indeed generating a lot of cash. Could it not be made a case that you would actually benefit from spending some money in that business to actually improve profitability and medium- to long-term cash flow. If you want to share some thoughts on how you look at this business, because you’re now sort of distancing yourself from it to certain degree when you comment on it. The other component, I suppose, when you look at FX, you talked about the dynamics that’s coming through in the pulp market, but there is also potentially a dynamic work in the other way around and I’m really referencing on the packaging side, where export markets in particular, and I guess also in the paper side, export market pricing is extremely good. How - what is your strategy to take advantage of that, if I take those two questions up front?
Karl-Henrik Sundstrom: Okay. So when looking on paper, I think what we are - we are not distancing ourselves from it. And we really want to make sure that we have the most competitive and the best-in-class paper business. But it is also challenging business per se, but it’s a huge cash generator and they are doing a really good job. What we are trying to make sure in the paper business and what kind of investments we are doing, we are focusing very much on things that like energy which has short paybacks, the other one is to make new ways of driving the operations and also segmenting better the kind of offerings we’re having. So for example, investment we did in Kvarnsveden within news improved news, because that is a segment which is we call the retailer segment which has been holding up quite well. And office paper is holding up quite well. The newsprint, due to our capacity closures has been running very high operating levels. And we are also investing in various new ways of doing business, more supply chain management kind of contracts et cetera, et cetera. So it’s not that we are trying to distance ourselves from it and I’m very proud of the paper team I have. So I hope that answer your question.
Lars Kjellberg: It does, yes, thank you. And then in terms of maximizing the impact from the tailwind for potential exports of paper and board from Europe?
Karl-Henrik Sundstrom: So when we take the export prices on - from Europe or selling into UK, they’re obviously - the prices had come down a bit especially in the UK on lower levels locally but keeping up in euros. And we are also seeing that the export prices out of Europe, the dollar based ones, which is the export of European paper producers are also coming down in dollars but still okay. So we are trying to make sure that we address that to keep the volumes and the utilization on high level in the paper mills. When it comes to board paper and especially consumer board they are holding up fairly well, because it’s a slightly different product, and a lot of the sales we are doing with container board is mainly in Europe and less export.
Lars Kjellberg: Understood. If we’re looking on to Seppo, if he - you had a €64 million tailwind from FX, €30 million sequentially. If you were to say at current FX what would the impact be in the second quarter sequentially? And also if you can share what was the hedge impact that partially mitigated the full benefit of FX in Q1.
Seppo Parvi: Yes, well, Lars, as you know we don’t guide and give details of FX per quarter. But if you look at sensitivities on different currencies the key driver is of course U.S. dollar, as you saw actually on one of the slides Karl showed earlier. So if you look at the 10% move on dollar that’s €116 million positive effect for us. And Swedish krona is negative by €82 million, because we are based in Sweden producing with Swedish cost, British pound is €46 million positive. Our hedging policy remains as also earlier. We roughly hedge about 50% of the next 12 months flow. So that means it comes down a bit with the delay and if you look at the FX per quarter and of course there was a significant change in the U.S. dollar against euro. Year-on-year, some 20%, 22%, quarter-on-quarter 10%, and now we saw a 64% increase year-on-year and then €30 million quarter-on-quarter. Last, here you might remember in Q3, Q4 the FX effect was in the region of €10 million to €15 million a quarter. Then the rest will be felt of course how it moves going forward but it has been the singular driver. Of course, it remains so, if it remains here compared to previous year.
Lars Kjellberg: And just to clarify your guidance, is that based on some sort of continuation on the current FX rate for the second quarter?
Seppo Parvi: Yes, you can - that’s a fair assumption, it’s with the current levels where we were end of the quarter.
Lars Kjellberg: Thank you.
Operator: Thank you. Our next - sorry, our next question comes from Mikael Jafs in Kepler Cheuvreux. Please go ahead.
Mikael Jafs: Yes, hello. Good afternoon, everybody. A couple of questions, first on the Varkaus new liner machine, do you see that that machine will fit well into the marketplace? That’s the first question. Or do you see any risks around that project? And then last quarter, we discussed a little bit about the potential pulp mill decision in China, could you just sort of come back to that one, say if there are any changes to the plans or not? And then lastly, we see quite a lot of potential pulp, short fiber pulp projects being announced especially in Latin America. So could you please give us your view on how you see that affecting the marketplace in a couple of years’ time? Thank you.
Karl-Henrik Sundstrom: Thank you, Mikael. And if we start with the Varkaus, the Varkaus is 390,000 tonnes of kraftliner. And today, we are importing somewhere between 800,000 and 900,000 tonnes of Kraftliner from U.S. and Asia into Europe. And so there is a market replacing import. When it comes to the - so I feel comfortable with this and with this investment. And when it comes to the - if I read you right here regarding the risk, we are working hard on it, but the team is dedicated and everything has been according to the time budget and the cost budget. So I feel good about it, it’s really good. And you have to remember, this is an investment that basically saved the Village of Varkaus, so it’s a huge corporation, not only for our own employees but for the whole society in Varkaus.
Seppo Parvi: Sorry, if I may add. Actually, if you look at the latest U.S. dollar euro development, keeping in mind that lot of this kraftliner is imported to Europe from U.S., that’s actually supporting our business case there.
Karl-Henrik Sundstrom: Then about the Guangxi, our crew, what we have done, we got an approval for a board machine and a pulp mill. That’s what we got from the NDRC. And what we have said is that, once we got the board machine up and running, which is the middle of 2016, we will take the second phase of investment in Guangxi to the board and that means that construction might be able to start late 2016 or early 2017. And then the last question was regarding all the mills that has been starting up. Yes, there are a number of mills starting up in Latin America, that will probably be short term in the areas of 2016 and 2017, put a bit of pressure on the pricing, but that is always happening when you put new mills on line. But you should not forget that is also coming softwood mills online within two years in Äänekoski, the new Metsä Board or the Metsäliitto Mill. Did that answer your question, Mikael?
Mikael Jafs: Yes, many thanks.
Operator: Thank you. Our next question comes from Linus Larsson in SEB. Please go ahead.
Linus Larsson: Yes, thank you very much and very good afternoon to everyone. Just a couple of clarifications, maybe on the maintenance side, could you just say what the maintenance cost delta was in the first compared to the fourth quarter?
Karl-Henrik Sundstrom: Okay. What I can say while Seppo is looking for that. But compared to the same period Q2 last year and Q2 this year it’s €15 million higher.
Linus Larsson: You mean Q1...
Karl-Henrik Sundstrom: Q2 versus…
Seppo Parvi: I think, Linus, your question was Q4 versus Q1, and that’s €12 million. So we have €12 million less in Q1 than we had in Q4 last year.
Linus Larsson: Excellent. And then on the paper side just want to double check that we’re not missing anything. Correct me, if I’m wrong, but we had nor that we had special items positive €11 million in the fourth quarter operational EBIT for paper? And we have negative €7 million of provision for doubtful accounts included in operational EBIT in Q1, is that correct? Have I got that correct?
Karl-Henrik Sundstrom: You’re absolutely correct.
Linus Larsson: Yes. So the remainder, how do you break that on, is that entirely price currency cost or is there anything else, sorry, price currency volume, or is there anything else that you would add to that?
Karl-Henrik Sundstrom: I would say it is price mainly, price less demand.
Linus Larsson: And has that been a - I mean, has price been a disappointment if you’re looking now compared to what you expected three months ago?
Karl-Henrik Sundstrom: A little bit we expected towards the end of Q4 when we sensed the price negotiation coming up and we felt it, yes, that obviously we are not happy to take it out full account on €7 million.
Linus Larsson: And in which segments have you seen that kind of disappointment?
Karl-Henrik Sundstrom: I think it’s been some of the coated grades, but also a bit in standard news.
Linus Larsson: Okay, great. And then on the CapEx side, where you’re willing to be just somewhat more precise on 2016, given that you’re increasing now in 2015, should we also increase in 2016 the prime reason or…?
Karl-Henrik Sundstrom: Linus, what I said is that in 2016, we are peaking in 2014 and 2015, and we will come down. And we have a longer-term policy basically that we should invest the same amount in CapEx, as we have in depreciation on the longer-term.
Linus Larsson: Okay. All right. Thank you.
Karl-Henrik Sundstrom: Thank you.
Operator: Thank you. Our next question comes from Oskar Lindström in Danske Bank. Please go ahead.
Oskar Lindström: Yes. Good afternoon. I have a question, which I guess is for you Karl-Henrik. I mean generally, these are pretty good times in the pulp and paper industry, and a peer of yours or a competitor of yours commented recently about the acquisition prices in the industry being high. I mean that’s not really a problem for you since most of your growth is organic driven. But would this be a good time for you to maybe potentially divest assets in your entire business lines?
Karl-Henrik Sundstrom: I - maybe a couple of things here. So divesture is not - I have said this publicly, and I would say it again. If somebody is willing to pay me for what the - my paper business is worth, I’m selling tomorrow, unfortunately, there’s no buyer, okay. The other part of the portfolio I feel confident with them, but out if somebody is coming with a dream bid, we might be able to discuss that.
Oskar Lindström: All right. I mean, do you see potential for individual mills or smaller parts of business areas?
Karl-Henrik Sundstrom: I don’t want to go over there. But obviously, my job here is to create shareholder value. And if somebody comes with something that is so good, I have to take it and understand what it means short-term versus long-term for the company.
Oskar Lindström: All right. Thank you very much.
Karl-Henrik Sundstrom: Thank you.
Operator: Thank you. Our next question comes from Lars Kjellberg in Credit Suisse. Please go ahead.
Lars Kjellberg: Just wanted to come back to know the question what you talked about Guangxi and the pulp mill. What you’re saying that you as a management team will recommend to the Board that you will continue with Phase 2, is that what you said?
Karl-Henrik Sundstrom: No, what I’m saying is that, when we got the NDRC approval, it was a pulp mill and the board machine. We put this in a different sequence and you know the story a lot to get faster to the customer and all that. But today we have got the pulp mill up and running, that’s when we go into the Phase 2, that’s what I was trying to say.
Lars Kjellberg: And you have no particular view, if you will or not, or will you - or you just trying to understand, because your CapEx said, you’re going to come down over time to depreciation, but…
Karl-Henrik Sundstrom: Yes.
Lars Kjellberg: What you just said is that, you’re going to start back up again in 2017, as you get on the Phase 2?
Karl-Henrik Sundstrom: I did not say that, the long-term, the peak years are 2014 and 2015, that’s what I said.
Seppo Parvi: Yes, and you have to remember this, couple of years ago since we split the process into two, it will be another year or two before we will revisit the case and that time comes to look at the pulp mill project. So we obviously look at the business case…
Karl-Henrik Sundstrom: Yes.
Seppo Parvi: …our internal needs, how the global market is, et cetera. So it’s impossible to comment financial question now.
Lars Kjellberg: Understood. Thank you.
Operator: Thank you. There is currently no more questions in the queue.
Ulla Paajanen-Sainio: Okay, good, Anna. I think I will take over the call now. And just want to thank everybody for the good questions during the call, and we will be taking to each other then when we are out with our Q2 result in July. But still in the end, Karl, do you want to say couple of words?
Karl-Henrik Sundstrom: No. First of all, I just want to repeat, we delivered another solid quarter supported by tailwinds in FX and the transformation journey that Stora Enso continues. We’ve got a lot of exciting project coming on stream already in 2015, and we got a big board machine in China by the mid of 2016. So thank you.
Seppo Parvi: Thank you.
Ulla Paajanen-Sainio: Okay. Thank you.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.